Gunnar Aasbo-Skinderhaug: Good afternoon, Europe, Asia, and good morning, America. Welcome to the Atlantic Sapphire Presentation after publishing the Annual Report for 2024. My name is Gunnar Aasbo-Skinderhaug and I’m the CFO of the company. I’m currently in Oslo. With me, I have Pedro Courard, who is the CEO of the company currently in Miami. I hope the technology works with us being on separate locations, but we believe it should. Together, we will present the company updates and after the presentation, we will open for a Q&A session. In the Q&A session, please ask your questions in the chat and please identify yourself with full name and company. I will hand the word over to Pedro, who will start the presentation.
Pedro Courard: Thank you very much, Gunnar. Thank you, all of the attendees in this annual report meeting. So, let us go to the presentation. I will start presenting our operational performance. As it’s possible to see on the left side of the slide, our mortality has been very low, showing also a reduction tendency in last quarters. Our current mortality level is much lower than traditional farming, meaning we have been able to give excellent farming conditions to our fish, which is extremely important when talking about a rust facility. One important parameter related with this performance has been the control of temperature. Learning from our past experiences, we have been farming for one and a half years at the targeted levels, that means around 4 degrees Celsius. During the last three quarters, the main milestone was, firstly, a very successful well-maintenance process that allowed us to increase the water intake into our system, and in consequence, the water flow. Also, we made major adjustments to our stocks to be able to fulfill feeding demand according to our feeding capacities. This adjustment process ended in January 2025 is the main reason behind the increase in harvest average weights. It’s important also to mention that during the end of 2024, we start an overhauling process consisting in making a full refurbishment of all of our production units and having as a goal improving efficiency and stability, key to our future ambitions. During 2025, we are considering increasing our filter and skimmers capacities, as well as increasing even more our water intake. This plan, together with improving -- together with improving stability and a cost-cutting program, will permit us reaching the max potential for Phase 1, establishing as well a solid base for Phase 2 future expansion. From 2024, we have been systematically improving our feeding capacity in terms of tons of feed per day. As you know, feeding capacity is a key parameter in the RAS system because it defines production capacities. Once we finish executing our remaining proven projects, our medium-term ambition is being in the level of 33 tons of feed per day. Together with the increasing feeding capacity, we also have increased our harvest. It’s important to mention that while total harvest is relevant, we have also improved a lot our harvest average weights. Except for Q4 2024 order, when we made a programmed well maintenance, net biomass gain has been stable. In terms of harvest, in Q3 2024, we finished the harvest of mature fish, explaining the low harvest average weight. In January 2025, we finished the biomass adjustment to be able to feed at society our stocks. As consequence, during the last two quarters, we have seen a systematic increase in our average weight at a decent harvest volume. Our plan is continuing increasing both harvest and harvest average weight. During 2024, price were affected by low average weights. However, from last quarter 2024 onwards, and as we have been improving our harvest weight, we have also got access to premium prices. From Q3 2024, we have been systematically increasing our price achievement online with our target of $12 per kilo HOG to be reached in the immediate term. Price achievement has also been supported by improving our internal filleting capacities, as well as filleting yields. Today, 100% of our fillet production is processed in our facility in Florida. In June 2024, we finished what we call industrialization and systemization of our operation, founded in the knowledge won during previous phases. Today, we are in the stage of optimizing Phase 1 by maximizing harvest biomass at high average weight to improve even more our prices. This process, together with our cost-cutting plan, will be the basis to be breakeven in the short-term and profitable in the medium-term. With this solid base, our ambitions are put in Phase 2, where together with the operational excellence we must be able to develop, we should maximize our profitability. Phase 2 is under the final step of engineering, expecting target contraction in the medium-term. Thank you very much. Now, our CFO, Gunnar will explain a little more deeper about the figure -- financial figures.
Gunnar Aasbo-Skinderhaug: Thank you, Pedro. We have a significant increase in revenues in 2024 compared to 2023. It is driven by the volume of harvest, which were 4,365 tons in 2024, compared to 1,545 tons in 2023. Also, the biomass gain increased significantly from 2023 to 2024 to reach 5,500 tons in 2024. Low harvest weight gave low sales price, but it increased throughout the year. Consistent price achievement has been realized on premium fish, and with the increased harvest size and quality throughout the year, the share of premium fish has increased throughout 2024. Biologically, the year has shown good performance with stable operating condition, low mortalities, improved growth per batch, stable water temperature and stable water quality, as Pedro also mentioned. We did record an impairment write-down of fixed assets in 2024 of US$73 million. The main driver for the write-down is that expected cost of completing Phase 2, consider inflation since the project was triggered, has increased. The production volume is unchanged, so increased investment amount leads to an impairment in 2024. As mentioned, revenue increased significantly as the result of harvest volume. Year-over-year increase in cost is also driven by volume. The cost per kilogram is lower as a result of a larger volume to distribute fixed costs on. SG&A cost increases year-over-year, primarily driven by the transition of management, as well as increased insurance costs. Going forward, EBITDA is expected to further approach breakeven. It’s driven by increased sales price, which again is driven by fish size and quality. It’s also driven by increased biomass gain and harvest volumes. On maintenance, as Pedro mentioned, we’re doing a system overhaul catching up on backlog of maintenance. This is expected to reduce the need for unplanned maintenance going forward and shifting maintenance work from corrective to preventive maintenance, and thus also reducing the level of maintenance required and cost of maintenance. On the chillers, we continue to use a temporary chiller solution for Phase 1, and we will use that solution until a permanent chiller solution for Phase 1 and 2 combined is commissioned, which is when Phase 2 is built. With a commissioned long-term solution, we will significantly reduce the chiller cost as both chiller lease and operating costs for chillers will be reduced. On the balance sheet, we see that end -- the year ends with $29.4 million in operating cash plus another $15.2 million in restricted cash deposits linked to the loan agreement that we have with our main bank. CapEx during 2024 was $8.8 million, mainly related to Phase 1 upgrade projects, which Pedro also mentioned. The non-current assets reduced from $295 million in 2023 to $217 million at the end of 2024 and the main explanation is the impairment of $73 million. On the debt side, we have net interest bearing debt, not including the restricted cash, so excluding the restricted cash net interest bearing debt is $32.7 million. Our long-term loan is $41 million related to Phase 1 construction. In addition, we have a convertible loan of $20 million that was raised in October and we have a revolving credit facility, which we currently have not drawn anything on. We have $17.4 million available on the revolving credit facility. On the equity side, we have $202.8 million in equity. It’s driven by capital raise in 2024 and also accumulated losses. In 2024, we raised first $35 million in the spring and then another $60 million in the autumn. For financial segments, we have all main activities in the U.S. segment. The Danish segment is neglectable with minor activities in the P&L statement. We are, however, looking at opportunities to divest the Danish entity. And another happening in 2025 is the introduction of tariffs in the U.S., and at the moment, the tariff situation is somewhat unclear. It has changed frequently during 2025. We believe at the moment the tariff situation for feed imports are that we have no tariffs on feed imported from Canada, but from all other imported sources of feed, there is 10% to 20% tariffs. There are no domestic salmon feed production in the U.S. On the salmon side, we have the same tariffs as for feed. So, Canadian salmon imported to the U.S. is -- has zero tariffs, while other sources of salmon imports have from 10% to 20% tariffs. There are only minor domestic production of salmon in the U.S. So, at Atlantic Sapphire, we are monitoring the situation closely and adapting our sourcing of feed and other ingredients from where it is financially beneficial at all times. At the moment, we buy the feed from Canadian suppliers.
A - Gunnar Aasbo-Skinderhaug: We will now switch to the Q&A session. So, please raise your questions in the chat. We have a question from Alex Aukner at DNB Markets. What do you expect the CapEx to be for 2025 and how much working capital buildup do you expect? In fact, we are not guiding on these KPIs. So, I’m not going into details on these things. We are expecting projects to be executed and also harvest volume to increase and also biomass to increase, and I’m not going to go into details on those KPIs. I do see a lot of anonymous questions. I’m going to disregard that. So, please enter your name and company if you want a question answered. We have one question from Espen Schierning [ph]. What is the main reason why head-on gutted increases from 2.2 kilos HOG to 3.1 kilos HOG in March? I will leave that to you, Pedro, to comment on the increase in harvest weight. I assume from 2.2 kilos HOG is then referred to January and 3.1 kilos HOG is March. 2.2 kilos HOG, is not January. Yeah.
Pedro Courard: Thank you, Gunnar. Well, first, important to mention that since we arrived to the company with Gunnar last year, our first main focus was increasing average weight. We were harvesting at a very low average weight during 2024 and we made everything to increase our average weight. First, because we are able to achieve premium prices, but also because of the quality and the yield being to fill it is improved as we are able to increase the average weight. In January, we finished to make all the biomass adjustment to be able to feed at society our stock. And as a consequence of that, from January to March, we increased systematically our average weight, achieving 3.1 kilos HOG in March, which is, by the way, the minimum average weight we should have in the short-term.
Gunnar Aasbo-Skinderhaug: Can we also mention something about the development beyond March? We are expecting that the average weight is increasing further from March levels. We’re not specifying the number or guiding on size, but it is expected to increase further from the March size. Then we have another questions from the same person. What is the value of the Danish plant? And by value, I can comment on the book value. This plant is written down to zero, so it has no or minimal value in our financial accounts in the balance sheets. There are no further questions on the Q&A. I will allow another few minutes for Q&A to come in, if there are anyone. Does not seem to be any further questions. We are always open for receiving questions, so please contact us if you have any questions on Investor Relations at atlanticsapphire.com, and we will reply to the questions we can reply to. There is one question here from Drew Cherry of IntraFish. It says, will the outstanding invoice from NovoMar be paid? I have no further comments to that, except that we are trying to get all invoices paid. With that, I think, we will end this session. As I said, please, if you have any further questions, send us an email on Investor Relations at atlanticsapphire.com. Thank you all for attending this presentation and Q&A session. We will revert with Q -- first half reporting in August, so thank you all for your attention.
Pedro Courard: Thank you very much.